Operator: Good morning, and welcome to the third quarter 2010 earnings release conference call for FMC Corporation. Phone lines will be placed on listen-only mode throughout the conference. After the speaker’s presentation, there will be a question-and-answer period. (Operator Instructions). Thank you. I would turn the conference over to Mr. Brennen Arndt. Mr. Arndt, sir you may begin your conference.
Brennen Arndt: Thank you, and welcome everyone to FMC’s third quarter 2010 conference call and webcast. Pierre Brondeau, Chairman, President and Chief Executive Officer, will begin our call today with a review of third quarter performance. Pierre will turn the call over to Kim Foster, Senior Vice President and Chief Financial Officer, for a report on our financial position as well to provide our outlook for the full year and fourth quarter 2010. Pierre will then share with you our longer term perspective for FMC in the context of Vision 2015 initiative we launched last July. We’ll complete the call by taking your questions. Joining Pierre and Kim for our Q&A session will be Milton Steele, Vice President and General Manager, Agricultural Products; Ted Butz, Vice President and General Manager, Specialty Chemicals; Michael Wilson, Vice President and General Manager, Industrial Chemicals; and Mark Douglas, Vice President, Global Services and International Development. A reminder today that our discussion will include certain statements that are forward-looking and subject to various risks and uncertainties concerning specific factors that are summarized in FMC’s 2009 Form 10-K, most recent Form 10-Q, and other SEC filings. This information represents our best judgment based on today’s information; actual results may vary based upon these risks and uncertainties. Also during the conference call, we will refer to certain non-GAAP financial terms. On the FMC website available at fmc.com, you will find the definition of these terms under the heading entitled Glossary of Financial Terms. We have also provided our 2010 outlook statement and a reconciliation to GAAP of the non-GAAP figures that we will use today It’s now my pleasure to turn the call over to Pierre Brondeau, Pierre?
Pierre Brondeau: Thank you, Brennen, and good morning, everyone. As you saw in our earnings release, with very strong third quarter performance, at the high-end of our expected range. We realized strong double-digit earnings growth and significant margin expansion across all three segments. Third quarter earnings increased 28% to $1.14 per diluted share before restructuring and other income and charges, on revenue of $772 million which increased 8%. In Agricultural Products, sales increased 15% to $309 million, while earnings increased to 27% to $75 million consistent with their expectation. In Specialty Chemicals, sales increased 5% to $202 million with earnings up 15% to $47 million again in line with our expectation. And in Industrial Chemical, sales increased 3% to $262 million and earnings were up 45% to $30 million which was better than we expected. On a GAAP basis, we reported net income of $83 million or $1.13 per diluted share. GAAP earnings in the current quarter included a net charge of $0.6 million after tax or $1 per diluted share versus a net charge of $37 million after tax or $0.51 per diluted share in the prior year quarter. With that reconciliation our non-GAAP earnings were $1.14 per diluted share in the current quarter, an increase of 28% versus $0.89 per diluted share in the quarter of 2009. Going forward, our outlook is for the strong performance to continue for the balance of the year. In the fourth quarter, we expect earnings of $0.95 to $1.05 per diluted share before restructuring and other income and charges and for the full year 2010, we have raised the midpoints of our guidance with our expectation for earnings before restructuring and other income and charges to $4.70 to $4.80 per diluted share a 14% increase above last year at the midpoint of this range. Let me now take a more detailed look at the third quarter performance in each of our operating segments. First, in Agricultural products. As I noted a moment ago, revenue increased 15% versus the prior year quarter. This was driven by higher sales in all regions. In Latin America, the sales increase reflected improved market conditions and growth in planted acres for key crops. In Asia, sales were up in most key countries reflecting improved market conditions, the introductions of new product and favorable currency impacts. Sales in North America improved due to a strong demand in the current market partially offset by lower pressure in the residue market. Sales in Europe increased as a result of higher herbicide sales and a sequent sale from the second quarter due to the delayed growing season. Agricultural segments earnings increased 27% to $75 million driven by the sales gain and favorable product and geographic mix partially offset by increased spending on new product introductions and growth initiatives. Moving now to Specialty Chemicals. Revenue in this segment of $202 million was 5% higher than the prior year quarter driven by the continued demand recovery in lithium primaries, higher volumes in selling prices in lithium specialties and volume growth in Biopolymer. Segment earnings of $47 million increased 15% above prior year driven by the sales gain favorable mix in Biopolymers food ingredients business and continuous productivity improvement partially offset by higher raw material costs. In lithium, upstream primaries volumes increased substantially versus prior year driven by strong battery in Asian demand. In downstream specialties, growth was driven by higher volumes in selling price in Butyllithium. Lithium earnings increased significantly versus last year as a result of the sales gain and continuous productivity improvements. In Biopolymer, third quarter revenues increased as a result of volume growth in food and pharmaceutical businesses. Biopolymer earnings increased significantly versus a year ago driven by volumes gains, favorable product mix in food ingredients in reused operating cost partially offset by higher raw material costs. Moving to Industrial Chemicals, sales of $262 million increased 3% from the prior year quarter. Volume gains in soda ash especially in export markets and in North America and European Peroxygen markets were partially offset by lower selling prices. Segment earnings of $30 million increased 45% versus last year as a result of the volume gains lower raw material and energy cost and lower plant outage cost. This year-over-year performance exceeded our earlier guidance for the quarter in part because we chose to shift to the fourth quarter some outages we usually planned for the third quarter for commercial and operational reasons. In soda ash volumes continued to rebound significantly above last year. In the domestic market, mid-single-digit volume growth year-to-date is in line with the demand recovery in the flat glass, detergents and chemicals markets. And in the export markets of Asia and Latin America, demand growth is more robust, up approximately 50% year-to-date versus last year resulting from higher market demand and the success of Anzac share recapture strategy. Anzac’s primary competitor in the export market Chinese soda ash exporters have reduced export volume in the by approximately 35% versus last year. Continued constrain from Chinese exports is expected due to input cost pressure and government imposed energy restrictions. This strong rebound has moved US producers to near full utilization. We expect tight conditions to continue across the balance of this year and into next year. In reflection of this industry conditions, FMC announced a $10 per ton price increase in May for the domestic market and last month we announced another $10 per ton price increase. However, given the full year nature of our domestic contract pricing, no marginal increase will be achieved prior to January 1 next year. Our Peroxygen business performed well in the quarter, delivering a significant earnings increase driven by volume growth and improved mix due to growth in our specialties business. In specialties, our environmental soil remediation, food safety and oil field businesses all contributed strongly to the earnings increase. I will now turn the call over to Kim Foster for a review of corporate financial items and to provide our outlook for the balance of the year. Kim?
Kim Foster: Thanks Pierre, and good morning, everyone. Continuing on third quarter items, corporate expense was $16 million as compared to $10 million a year ago. Interest expense net was $10 million versus $6 million in the prior year quarter. On September 30, 2010 gross consolidated debt was $668 million and debt net of cash was $400 million. For the quarter, depreciation and amortization was $33 million and capital expenditures were $36 million. Moving to free cash flow, we are maintaining our cash flow projection for the full year 2010 at approximately $200 million. As a reminder, free cash flow is defined as after acquisitions but before cash returned to shareholders. Regarding share repurchases, during the quarter we repurchased 156,000 shares for a total value of $10 million. The share repurchases we have made year-to-date have essentially offset dilution from the issuance of restricted stock and stock option exercises. The existing Board authorization has $155 million remaining. Let me now provide you more detail regarding the outlook for the balance of the year that Pierre summarized earlier. For the full year 2010, we raised the midpoint of our guidance with our expectation of earnings before restructuring and other income and charges of $4.70 to $4.80 per diluted share, a 14% increase above last year at the midpoint of this range. We expect Agricultural Products to deliver its seventh straight year of record earnings, with segment earnings up in the mid-single-digits while increasing investment in innovation and continuing to deliver high profit margins. In Specialty Chemicals, earnings are projected to increase by approximately 20%. We expect Biopolymer to achieve its sixth straight year of record earnings and lithium to realize significant earnings improvement through the robust demand recovery in lithium primaries. In Industrial Chemicals, we project earnings to increase by approximately 35% driven by a significant volume rebound and favorable raw material costs only partially offset by reduced selling prices. Moving to our outlook for the fourth quarter, we expect earnings before restructuring and other income and charges of $0.95 to $1.05 per diluted share. In Agricultural Products, we look for fourth quarter earnings to be up approximately 20%, driven by continued growth in Brazil. In Specialty Chemicals, earnings are expected to be up approximately 30%, driven by volume growth across the segment and favorable mix in food ingredients, partially offset by higher raw material costs. In Industrial Chemicals, we expect earnings to decline approximately 20%, primarily due to the move from the third quarter to the fourth quarter of planned maintenance outages, including the successful completion of the boiler repair at our Wyoming soda ash facility early in the fourth quarter. Commercial performance in the segment will continue to benefit from higher volumes and lower raw material and energy costs, only partially offset by reduced selling prices relative to a year ago. With that I’ll turn the call back to you Pierre.
Pierre Brondeau: Thank you Kim. I would like to share with you the longer term perspective for FMC in the context of the Vision 2015 initiative we launched in July. As you know, we will provide you with a more in-depth review of Vision 2015 at our Investor Conference in December 7 in New York, but I want to take this opportunity to preview its key elements. In short, Vision 2015 is about driving strong shareholder value creation by aligning our organization around clear and ambitious financial goals. By 2015 we envision in FMC that generates $5 billion of annual revenue, delivers improved sustained EBIT margin greater than 20%, demonstrate significantly less earnings volatility, sustained high returns on invested capital and provide strong free cash flow. We have a well-defined executable plan to grow our current businesses above $4 billion in revenue through organic initiatives. The result that by itself would significant enhance shareholder returns. On top of that, we expect external growth initiatives including acquisition to increase its total revenue to $5 billion by 2015. We have developed a focused disciplined plan that reduces the risk normally inherence in external growth and we believe this target is achievable. Importantly, we believe that our external growth targets will not require all of our expected free cash flow and debt capacity. As a result, we fully intend to return a meaningful amount of cash to shareholders. Starting in the fourth quarter, we intent to repurchased $100 million in stock in open market transactions under our existing Board authorization. We are launching Vision 2015 from a position of strength. FMC’s recent past has been a pure year of a strong financial performance. Most of our businesses now enjoy margins and return on net assets well above peer levels. FMC is also strongly positioned financially with a liquid balance sheet of high operating ROI and substantial free cash flow. Our performance created attractive shareholder value over the period of 2002 to 2009. FMC delivered 17% compound annual total shareholder return putting us in the top quartile of our industry. Our goal is to sustain these high level of performance and to drive even greater value creation by growing our leadership position, increasing our reach, leveraging the size and scale of the operations and reducing costs, more actively managing our portfolio of businesses and maintaining a highly disciplined focus on our use of cash. Let me briefly touch on each of these strategic elements. First growing our leadership position. We will strengthen and build FMC’s leadership positions in a current core businesses and markets. We will not seek to add new business leg to our portfolio. We strongly believe our portfolio of businesses and the markets they serve are attractive and provide ample opportunity for profitable growth over the planned horizon. Second, increasing FMC’s reach. We intend to accelerate the global growth of many of our businesses with a particular focus on rapidly developing economies or RDEs. Our goal is for RDEs to contribute roughly half of FMC sales by 2015. Third, we seek to capture the value of common ownership by shifting from a globally decentralized model to one that better leverages the size and scale of our company in a few key areas to realize greater savings and operational efficiencies while maintaining autonomy and accountability in the business unit. (inaudible) include optimizing procurements in our supply chain and as I produce these stages building the essential infrastructure in RDEs. Fourth, we will move actively. We will more actively manage our portfolio, while nearly all of our current businesses and divisions are well positioned for sustained growth, we are continued to assess their performance and address any issues hindering profitably of growth. And finally, we will maintain a highly discipline and focused approach to cash deployments. During the 2010 to 2015 period, we expect to generate cumulative excess cash of approximately $2 billion. After taxes, capital spending and regular dividends. Our balance sheet strength also gives us the opportunity to increase debt while maintaining a strong investment grade credit rating. Overall we expect to have approximately $3 billion in variable excess cash to redeploy. As I’ve noted, we intent to return a meaningful amount of cash to shareholders over these period as our external growth strategy will not consume all the available cash. Those of you who have followed FMC in the past will recognize the Vision 2015 both the elements of continuity and important elements of change. Let me begin with what will be different. There are four key change elements that we expect will contribute significantly to the success of vision 2015.
.: Second, biopolymers food ingredients business is a top priority for M&A. We will proactively seek bolt-on acquisition target to extend into other texturant products, build on our position in developing economies, and evaluate entering into additional specialty ingredients. Third, soda ash and preoxygens are a highly valued contributor to and clear long-term components of the FMC portfolio. We will retain these businesses as core parts of our portfolio. Fourth, as previously mentioned, given our expected free cash flow, debt capacity, and expected cash needs, we plan to return a significant amount of cash to shareholders. While these four elements each represent a degree of change in new direction, the sole focus of our business units provides continuity. When we provide more detail at our December investor conference, I want to mention some initiatives here. AG products will focus on maintaining premium margin through the continued successful execution of its current business model. Specifically it’s focused on these crops, selective penetration of larger crops, and it’s variable manufacturing paradigm. Market innovation, improving the productivity of product division export, and reinforcing a different share position through selective external growth are also critical elements to achieve its margin objectives. In addition, we will actively explore opportunity in adjacent spaces in order to expand our technology platform. Within specialty chemicals, as I mentioned earlier, biopolymers food ingredient business is a priority area for bolt-on M&A. While it continues to pursue attractive opportunities for organic growth and close to customer [ph] and technology development with an increased focus on RDEs [ph] especially China, India and other parts of Asia. Our intent is to maintain and strengthen its industry leading margins while pursuing external growth. In biopolymers pharmaceutical business, our strategic priorities are to maintain a leading position, increase our presence in RDEs [ph] and very selectively explore adjacent products and markets including positioning ourselves differently in the value chain. Lithium is also positioned to become a major growth platform and we’ll focus on continuing organic growth in its attractive end markets, enhancing margins and preparing its business for significant growth by mid-decade. Our refocus industrial chemicals business will produce higher margin, stronger cash generation, and less earnings volatility. Our soda ash business is a highly valued component of our portfolio with no volatility, strong profitability, and high returns on capital employed. Soda ash will focus on maintaining leadership in the rebounding market and continuing to work to improve our cash position through operational excellence initiatives and advancements in process technology. We consider a grandeur facility, a strategic asset and we’ll deploy its capacity as needed to meet growing demands. In preoxygens, we will significantly shift our product mix to specialty products and market including environmental and antimicrobial applications. We will consolidate a North American and European businesses into a single global business to leverage scale and accelerate the penetration of specialty initiatives across geographies. By 2015, we expect the majority of our sales to be generated in specialty applications. Across the businesses of industrial chemicals, we have some promising early stage environmental solutions offering. We currently have two potentially significant applications nearing commercialization. Hydrogen peroxide for NOx control and peracetic acid biocides for shale gas consumers Though each it depends on successful field testing and regulatory outcomes, this plus a few other potential products across the portfolio could provide the foundation for a significant environmental solutions growth that form longer term. As we have discussed in recent quarters, we are in the process of restructuring Foray down to its profitable core through the exit of the phosphate business and the consolidation of its preoxygens business into FMC preoxygens. The restructuring of phosphate is critical to achieving a vision for industrial chemical segment that achieves and sustains the higher operating margin and significantly reduced earnings volatility. We are currently pursuing two parallel paths with respect to phosphate and are working hard to achieve resolution in the coming weeks. Therefore, we are not in a position to provide any more detail today. To sum up, I hope this review has provided a good roadmap for you to begin thinking about FMC’s future. Through vision 2015, we have identified a clear strategic priorities and associated financial goals. To reiterate again, a few key points, in agricultural products, we will not pursue transformational or bolt-on transaction, but will pursue growth opportunities through smaller transactions and by building on the innovation under our innovation strategy. Biopolymers food ingredient business is the number one priority for bolt-on M&A and product line expansion is mission critical. Soda ash and preoxygens are attractive businesses and we believe there are substantial opportunities to drive earnings in both businesses. Finally, given FMC’s expected future cash generation and investment needs, we will be focused on disciplined cash deployment including returning cash to shareholders. This will start in the fourth quarter. As I said, when we intend to repurchase $100 million in stock in open-market transactions under our existing Board authorization. This is truly an exciting time for FMC. We look forward to sharing our vision 2015 with you at our investor conference on December 7th in New York. With that in mind, in today’s Q&A session, we would ask that you focus your questions on our third quarter results, fourth quarter outlook, and only general question regarding our strategic directions. We will be happy to address more specific vision 2015 questions on December 7th in New York. With that, I thank you for your time and attention. I’ll be happy to take your questions. Operator, please.
Operator: (Operator Instructions). Your first question comes from the line of Frank Mitsch from BB&T Capital Markets.
Frank Mitsch – BB&T Capital Markets: Good morning, gentlemen, and a heck of an advertisement for the December 2nd meeting here in New York. Pierre you talked about the decision to shift some of the plant shutdowns on the industrials business from the third quarter to the fourth quarter, I’m trying to size that. I mean is that about a $0.05 a share in terms of impact to the earnings?
Pierre Brondeau: If you look Frank – good morning, first, and thank you.
Frank Mitsch – BB&T Capital Markets: Yes.
Pierre Brondeau: If you look at – if you remember we were planning as we said in the second quarter call about $7 million spending for the boiler repair and plant outage. We were expecting a large part of that to be in the third quarter and the smaller part to be in the fourth quarter. For operational and commercial reasons, we have shift towards the beginning of the fourth quarter. The good news is all is well, the boiler is repaired and functioning, and the outage is behind us. We do believe that the range we gave to you of $4 million to $7 million is on the high side of that range spans over two quarters, and it’s about one-third in the third quarter and about two-third in the fourth quarter.
Frank Mitsch – BB&T Capital Markets: All right, terrific. So everything is complete now, so that’s behind us.
Pierre Brondeau: Everything is behind us.
Frank Mitsch – BB&T Capital Markets: All right, great. And I understand that you’re not going to comment on the two parallel paths for the phosphates business in Europe. But I just wanted to ask is fixing that business and keeping it in the portfolio that’s not one of the two parallel paths is it?
Pierre Brondeau: It is not.
Frank Mitsch – BB&T Capital Markets: All right, terrific. And then lastly, I noted that in the AG business, you have sales moving up for the year in excess of what your EBIT will be moving up, can you just spend another minute or two talking about why that would be?
Pierre Brondeau: Yes, Frank. There is two major reasons for which we do have such a situation. First of all, remember that business from a learning standpoint was penalized in the first half of the year on inventory cost and there was about a $20 million over two quarters of penalty at the gross margin level. It’s purely accounting, there is nothing to do with the quality or the performance or the sale or the operations of the business. Second of all, we have made a very conscious decision to increase our spending in market innovation and technology innovation for growth. So we knew getting into the year that those two reasons would create lower earnings growth than sales growth. We do believe it’s going to be a situation where it’s going to change where we will be starting next year able to leverage top-end growth into earning growth.
Frank Mitsch – BB&T Capital Markets: All right, terrific. Thank you.
Pierre Brondeau: Thank you.
Operator: Your next question comes from the line of John McNulty from Credit Suisse.
John McNulty – Credit Suisse: Yes, good morning, just a few quick questions. On the specialty chemical front, with what we’ve seen in terms of lithium volumes and maybe the pricing coming back and biopolymers looking like it was pretty good, I’m surprised that growth was maybe as moderate as it was in the quarter. Can you give us a little bit of color as to what might have driven that?
Pierre Brondeau: John, good morning. You’re talking about the growth year-on-year or sequentially?
John McNulty – Credit Suisse: Year-on-year.
Pierre Brondeau: Year-on-year, yes. There was a capital of a – actually there was one main reason. If you look at our specialty chemical business, this business is made of three businesses. We do have the lithium business, we have the food business, and we have the pharma business. Year-on-year the lithium business was at 14%, so well within expectations. The pharma business was at 9%, well within expectation. The food business was only up 4%, which is below what we would be expecting, and there is one main reason for that. As you know, we had an acquisition we made of ISP, and this year we completed the integration process of that acquisition, creating some lower capacity, because we faced some problem in transferring the process and moving that to our North American plant. So what happened is, in this quarter, we were limited in our growth not by customer demand, we actually were operating through the quarter with a significant backlog. But we were limited in our ability to supply products to customers, because of those integration issues. We do have worked those issues very hard and we do believe that they are very close to being behind us and we can resume normal growth very quickly.
John McNulty – Credit Suisse: Okay great, now that color is very helpful. Second question would be in the soda ash business and maybe it’s two parts to it. First part would be on the pricing. I know you’ve announced a couple of price increases. Given kind of what is going on in Asia with the weakness and supply outside of Asia because of the energy issues that you mentioned, how should we think about pricing in terms of where it can go, and if the full increases that you’ve announced are likely to stick or how should we think about that?
Pierre Brondeau: First, I mean let’s break it down into two categories, there is the domestic market. And as we said, we had to increase for a total of $20 per ton. And ANSAC announced that grew at $30 per ton increase for export markets. Now for the domestic market as we said before, we are operating very near to full capacity, so we are just getting right now into contract negotiation. It’s always hard before you negotiate your contract to know where you will end up and how much of this price increase we’ll seek. Nevertheless, looking at the near full capacity utilization in North America, we are getting into those negotiation quite confidence. Regarding the export market, we do have many reasons to believe that ANSAC will be successful. I think we’re seeing more and more limitation on Chinese export capacity because of their pricing and cost situation. So we do believe that the price increase ANSAC is pushing will result in some success. Once again, this price increase for us applies to Latin America where most of the contracts are, and we also have to know until we get closer to January. We might actually in Asia outside of China see some impact of this price increase, because we’re operating on shorter term contract in Asia, and we might be able to see some improvement on the pricing situation for export in Asia outside of China. But really the full impact, John, we will know that when we get closer to the month of December-January.
John McNulty – Credit Suisse: Okay, fair enough. And just last question, same topic with Solvay exiting ANSAC, what are your thoughts in terms of what that does overall to the competitive market?
Pierre Brondeau: You know at this stage, I think life is going to change more for Solvay than it’s going to change for us. We keep on growing. We do believe we’re in a very strong position. ANSAC is doing a tremendous job on the export. So we are not looking at that as a very threatening or very much changing of a situation.
John McNulty – Credit Suisse: Okay great, thanks very much for the color.
Pierre Brondeau: Thank you.
Operator: Your next question comes from the line of Kevin McCarthy from Bank of America.
Kevin McCarthy – Bank of America: Yes, good morning, how are you? I was wondering if you have an estimate of how much capacity – how much soda ash capacity would have been removed from the Chinese market. It seems that prices have gone parabolic there over the last six weeks or so.
Pierre Brondeau: I’m going to ask Michael Wilson to address that question.
Michael Wilson: Hi Kevin. I don’t have an exact number for you in terms of the amount of capacity that’s been taken off line. Sometimes it’s hard to track. We do know that at least two significant plants have been taken down we believe permanently, and others have been curtailed, and a lot of this has to do with China and its targets for energy usage as a percentage of GDP, so there were a lot of restrictions in the third quarter. I think overall, China is operating at about 80% capacity utilization. But if you go into some of these provinces where they’re really up against their targets capacity and some plants have been ratcheted back to 30%, 60%, so it’s really hard to judge overall. What we do know is that exports from China year-on-year are down some 35%. So between the energy restrictions and between their inability to compete on price with ANSAC, there’s been a significant impact in terms of our influence in the export market.
Kevin McCarthy – Bank of America: If I look at the composition of your soda ash sales Michael, what’s the approximate split of US versus exports say year-to-date over the last year or so?
Michael Wilson: About 52% of our total sales are in export markets either through ANSAC or direct.
Kevin McCarthy – Bank of America: Okay. And where is freight running to Asia these days?
Kim Foster: I’m not sure that I have an exact number, but freight has come down to Asia, which has benefited ANSAC. And as we look forward to 2011, we think freight again is going to be beneficial to ANSAC as well as our exports to Europe.
Kevin McCarthy – Bank of America: Okay. And then last question if I may for Pierre, you made it clear that biopolymers is your tough priority for M&A, I was wondering if you could just talk about the criteria for acquisitions that you’re evaluating in terms of any color on timeframes for earnings accretion, multiple ranges, size of deals, that sort of thing?
Pierre Brondeau: Yes, first of all, size of deal, we’re looking in bolt-on, looking at all these expansions. So I would say anything from companies which are running $10 million in sales with good growth potential international expansions to $200 million, $300 million, $400 million in sales will be kind of bolt-on acquisition we would be looking at. What we would like to expect from a multiple stand point is to make acquisition where past synergies multiple do not create dilution. And of course we like acquisition to be accretive very quickly first year and if not first year, year or two at the latest. From a strategy standpoint, we are looking at acquisition. If you look we have product line in the texturant business where we do have high market share in niche area, where we are very strong, but pretty much limiting growth to whatever market growth we have. So our intent – and we believe we could gain share at critical customers if we would increase our position in the texturant market with other technologies than the one we do have today. So that’s going to be a priority. But once again we thought through that carefully, it’s going to be small companies feeding our strategy, we are not going for by any mean for large transformational deal. We do not believe it would feed our strategy and it could deal with our successful business model.
Kevin McCarthy – Bank of America: Okay, that is very helpful. Thank you.
Pierre Brondeau: Thank you.
Operator: Your next question is from the line of Mike Harrison from First Analysis.
Mike Harrison – First Analysis: Hi, good morning.
Pierre Brondeau: Good morning.
Mike Harrison – First Analysis: I wanted to ask about the raw material pressure that you noted in the biopolymers business. What specific raw materials are higher and do your contracts allow you to pass that through at any capacity or is that going to create some margin pressure until each of your contracts come up for renewal?
Pierre Brondeau: Yes, I’ll ask Ted Butz to address the raw material question. Ted?
Ted Butz: Mike, this is Ted, good morning. What we’re seeing in biopolymer, pressure if raw material is going up in both our seaweed businesses, especially kerosene [ph] and in our pulp businesses, a number of our accounts and customers in our seaweed businesses we have some pass throughs and where we’re actively raising prices to help pass that through. In the pulp side, we have some of that, we also have contracts that comes in the different stages. But they’re not in every seaweed where we’re seeing the prices coming up, but it’s up and continuing to – we see it will grow for the next several months increasing in pressure.
Mike Harrison – First Analysis: And can you talk a little bit Ted about what kind of flexibility you have to shift among different raw materials. I know you don’t want to spend too much time sourcing things from different geographies and paying for freight and that kind of thing. But are there specific areas or regions where you’re seeing the greatest pressure?
Ted Butz: Yes, Mike, I think we have a number of flexibilities. And over the last several years, we’ve built in a lot more capability to do that. Both in seaweeds we have multiple geographies where we can get many of the seaweeds and we work through that with many different traders. And then on the pulp side, we have many alternatives that we continue to work on that area. And that takes different amount of times between customers for qualification and approval, but that’s been a very successful strategy over the last several years for us to help mitigate some of these – the volatility and raw materials.
Pierre Brondeau: Mike, I would like – I mean it is very important raw material cost when you look at the segment level then, but I would still like to put a counter on the numbers, because company that carries it’s one of the greatest strength even when there is additional raw material, it is not like we are dependent on all price with significant evaluation like some chemical company could be facing. Just to give you a sense, when we talk about a raw material impact year-to-date for business like biopolymers it’s in the mid-single digits. So you’re talking about $5 million, $6 million, $7 million overall year-on-year kind of numbers, we are not talking about double-digit significant differences. We look at it because at a segment level it’s very important, but in the big scheme of the company, those are not big ups and downs.
Mike Harrison – First Analysis: Understood, thanks Pierre. And then I was also hoping to ask about lithium market. Can you talk a little bit about the supply and demand dynamics specifically in the butyllithium area and what kind of support you’re seeing in the marketplace for pricing to offset some of the higher electricity and another costs that you’re seeing on the lithium specialty side?
Ted Butz: Yes Michael, this is Ted again. On butyllithium, which is our key downstream product in the lithium business, we have been successful and seeing prices increase, demand – supply and demand are fairly in balanced and that improved over the last couple of years. We are getting price increases in most markets today and continue to see steady growth for the business. So our profitability of this side of the business has been improving.
Mike Harrison – First Analysis: All right, thanks very much.
Operator: Your next question is from the line of Peter Butler from Glenhill Investments.
Peter Butler – Glenhill Investments: Good morning. Pierre thanks for the superb look at your strategies that was very helpful today, thanks. I have just two questions. What’s your best guess given all of the moving parts on how much of a earning swing you might have in soda ash next year versus this year?
Pierre Brondeau: Peter we are just in the process, we’re looking through all of that. I mean we do have a very rigorous process. I have not myself yet seen the budget coming from each of the business units. We will start to have a good quarter by the middle of November and then we’ll have to work those numbers for Board approvals sometime around mid-December. So it’s still work-in-progress, it depends a lot on volume, but also on what do we believe will be happening on pricing. It’s very early now that we have not yet started negotiations. So I am not in a position Peter to give you any color at this stage. I will need a few more weeks.
Peter Butler – Glenhill Investments: Okay. You had Mark Douglas on your conference call for the last several times, but I don’t think he has said a word yet. Does Mr. Douglas have some observations he’d like to share today?
Mark Douglas: Well, I am real. Thanks for the question Peter. Observations going forward, really as Pierre as said, my brief is to look at the procurement area and rapidly developing economies and Pierre has already talked about that as a key part of our strategy going forward. So I’ll certainly be talking at December the 2nd in New York, and hopefully you’ll hear a lot more details around procurement and rapidly developing economies then, but rest assured the work is going forward.
Peter Butler – Glenhill Investments: Okay.
Operator: Your next question is from the line of Douglas Chudy from KeyBanc Capital Markets.
Douglas Chudy – KeyBanc Capital Markets: Hi, good morning. I guess first you noted for biopolymers that you did receive a benefit from some productivity improvements. Can you give us a little more color here where you’re driving these improvements and maybe some future potential?
Pierre Brondeau: Well, most of the productivity improvement today are coming for – unfortunately for also what is the reason of some of the limitation in our line growth and mostly from integration of the acquisition – the ISP acquisition which was done. And so those [inaudible] numbers which were announced of and we are just delivering on the integration cost saving from the ISP acquisition.
Douglas Chudy – KeyBanc Capital Markets: Okay, so one time in nature versus kind of ongoing here is the way to think about it.
Pierre Brondeau: No, it’s not growing, because once the consolidation is done, we are shutting down plants. So if you look at the performance we do have today, it will be sustained. We shut down plants from the former company required and consolidate manufacturing on single plants. So those are ongoing saving. So now if by saying one time, you mean we’ll not realize versus this year the same amount the following year. It is correct, but operating at the level where we are is good for the future.
Douglas Chudy – Keybanc Capital Markets: Okay, that’s helpful and then just secondly, you noted again for the outlook for the fourth quarter for Industrial Chemicals that you would see year-over-year pricing headwind. If I recall, I think that soda ash markets – pricing markets at least stabilized last year on the third and fourth quarter. So would you actually start to see a positive year-over-year comp in terms of soda ash pricing?
Pierre Brondeau: I think if you look this pricing differential is decreasing each quarter and I think is not minor but really starting to be at much lower level in the fourth quarter and that will be turning going into first quarter next year.
Douglas Chudy – Keybanc Capital Markets: Okay, thank you.
Pierre Brondeau: Thank you.
Operator: Your last question comes from the line of Dmitry Silversteyn from Longbow Research.
Dmitry Silversteyn – Longbow Research: Good afternoon gentlemen, I guess we just got into the afternoon hour. Couple of questions as most of them have been answered. Number one, I know you guys are hedging your natural gas exposure about 80% and by this time of the year you should be mostly hedged for 2011. So my question is what should be our expectations be for natural gas costs on 2011 versus 2010? And then secondly more of a strategic question along the same lines, several companies in our states were half hedged natural gas in the past and proceeding as operating in environment of inflationary natural gas pricing, have backed away from hedging given that the price of gas has declined and projections at least for the near to mid-term are for continuing benign kind of $4 maybe to sub $4 natural gas. So have you considered going away from your hedges or hedging less of your upcoming needs?
Kim Foster: Hi Dmitry, this is Kim. And those are good questions, as far as the first question on the hedging program, we are essentially complete. And natural gas that component of our energy cost is represented by natural gas will be a slight tailwind for us in 2011 versus 2010 but only slight. As you remember, it was a significant tailwind for us in 2010 versus 2009. As it relates to your second question we are going to do a fairly in-depth relook at our hedging strategies both whether we should do them – the scope we should do them at and the duration if continue them that we would do them at. And I guess Peter Butler gave mark, a chance to say something but one of the things he is also going to look at, we’re going to have procurement specialists in the energy area and treasury and conjunction with procurement is going to relook at our hedging strategies going forward.
Dmitry Silversteyn – Longbow Research: Very good, that’s helpful, thank you. Then question, switching gears on to Industrial Chemicals business. Have you plans for the timing of the greater restart changed given how much export volume you’re pushing out and the outlook for very strong volume growth in the export market of Chinese continue to back away from it or we still kind of looking for some time in the middle of next year as the most likely timeframe?
Pierre Brondeau: We’re looking at an opening. It takes a few months anyway to get the plans up and running. So it’s very high on that priority list to make a decision which we have not made yet but I think it safe to think about some time towards the middle of next year if the market condition continued to support the opening. So we have to decide timing but Q2, Q3 are good timeframe and we should have to decide what percentage of the plant we would be launching. So let’s say Michael Wilson and his team will make a decision most likely sometime in the first three month of next year to contemplate in mid-year opening of the plants.
Dmitry Silversteyn – Longbow Research: Okay, and then final question on the acquisition strategy that you outlined Pierre. In the past obviously the biopolymers business was always an area where FMC has been trying to find acquisitions and have done at least one, a couple actually. The other area was identified as crop reduction but now you’re saying that you’re going to be doing more kind of in licensing and maybe expanding the phase of what you’re doing already but you’d be seeing pretty categorical about not growing that business to even bolt on acquisitions. Can you give us some flavor for why that thinking has changed and what’s become less attractive about growing that business through M&A?
Pierre Brondeau: Yes, first of all let me make sure I’m very clear on these business. It is a critical business from a growth and earnings standpoint. So external growth of this business is absolutely critical. Now here is what is the thinking behind the decision. First of all we do have a very high quality franchise. Our earnings and repeated performance demonstrate that we do have a unique business model which is very sustainable. When we look at other companies which could be potentially at some points variable for acquisition. It is very hard to find any company which is close to the performance for witness model, we do have in our Ag business and we are concerned – I am concerned about potentially having a negative impact if we do acquisitions on the quality and the performance of these franchise. These specially coming with the type of multiple which are seen to the in the Ag world which are very high and I’m just afraid we would not get the right type of returns taking into account the performance of our business. It also comes from the fact that the agricultural team has encountered maybe stronger way to grow. And I’m talking about smaller transaction. Smaller transaction just stands that they might involve less over cost because they will not be straight acquisition of company but more acquisition of product line. So its licensing each one of it, joint technology development is one of it but think about companies which might have product line which would have a lot of synergy with a product and might not be as critical for them. We would be willing to make significant investments to bring these in our portfolio and we believe it’s a safer way to protect the quality of our franchise. Now we will uncover more about the size but the actual growth in Ag through these process could be significant by no means. We are reducing that to no growth, it’s still pretty ambitious but a very different approach and a cheaper approach with higher return to do it.
Dmitry Silversteyn – Longbow Research: Yes, that’s been very helpful. Thank you for that color Pierre.
Pierre Brondeau: You’re very welcome. All right, I think I’m going to go now in my very quick closing remarks. First of all I would like to thank everyone for your time and attention. We look forward to seeing you at our Investor Conference on December 7 in New York. And on these words, it concludes our call. Thank you very much.
Operator: I would now turn the call back to Mr. Brondeau for closing remarks. Thank you, this concludes the FMC Corporation third quarter 2010 earnings release conference call. You may now disconnect.
You may quote up to 400 words of any transcript on the condition that you attribute the transcript to Seeking Alpha and either link to the original transcript or to www.SeekingAlpha.com. All other use is prohibited.: THE INFORMATION CONTAINED HERE IS A TEXTUAL REPRESENTATION OF THE APPLICABLE COMPANY’S CONFERENCE CALL, CONFERENCE PRESENTATION OR OTHER AUDIO PRESENTATION, AND WHILE EFFORTS ARE MADE TO PROVIDE AN ACCURATE TRANSCRIPTION, THERE MAY BE MATERIAL ERRORS, OMISSIONS, OR INACCURACIES IN THE REPORTING OF THE SUBSTANCE OF THE AUDIO PRESENTATIONS. IN NO WAY DOES SEEKING ALPHA ASSUME ANY RESPONSIBILITY FOR ANY INVESTMENT OR OTHER DECISIONS MADE BASED UPON THE INFORMATION PROVIDED ON THIS WEB SITE OR IN ANY TRANSCRIPT. USERS ARE ADVISED TO REVIEW THE APPLICABLE COMPANY’S AUDIO PRESENTATION ITSELF AND THE APPLICABLE COMPANY’S SEC FILINGS BEFORE MAKING ANY INVESTMENT OR OTHER DECISIONS. If you have any additional questions about our online transcripts, please contact us at: transcripts@seekingalpha.com. Thank you!